Operator: Ladies and gentlemen, thank you for standing by and welcome to the Wendy's Company Second Quarter 2015, Earnings Results Conference Call. Thank you. I will now turn the call over to David Poplar, Vice President of Investor Relations. Please go ahead sir.
David D. Poplar - Vice President, Investor Relations: Thank you, and good morning, everyone. Our conference call today will start with comments from our President and Chief Executive Officer, Emil Brolick, who will provide an update on the progress we are making on our brand transformation. After Emil, our Chief Financial Officer, Todd Penegor, will review our second quarter financial results and outlook. After that, we will open up the line for questions. Today's conference call and webcast includes a PowerPoint presentation, which is available on the Investors section of our website, www.aboutwendys.com. Before we begin, please take note of the safe harbor statement that appears at the end our earnings release. This disclosure reminds investors that certain information we may discuss today is forward-looking. Various factors could affect our results and cause those results to differ materially from the projections set forth in our forward-looking statements. Also, some of the comments today will reference non-GAAP financial measures, such as adjusted EBITDA, adjusted EBITDA margin, and adjusted earnings per share. Investors should refer to our reconciliations of non-GAAP financial measures to the most directly comparable GAAP measure. And with that, I will now turn the call over to our President and Chief Executive Officer, Emil Brolick.
Emil J. Brolick - President, Chief Executive Officer & Director: Thank you, David. And good morning, everyone. I will share a few thoughts on our second quarter performance and then speak to the strategic underpinnings of our business that distinguish the Wendy's brand. In the second quarter, North American system's same-restaurant sales increased 2.2% and company's same-restaurant sales were 2.4%, or 6.3% on a two-year basis. Our Image Activation initiative continues to produce solid results, as reimaged restaurants contributed 170 basis points to company-operated same-restaurant sales. We also realized a 40-basis-point year-over-year improvement in restaurant operating margin to 18.2%. Adjusted EBITDA from continuing operations was up 5.2%, despite the ownership of 141 or fewer company-operated restaurants. And our adjusted EBITDA margin increased 170 basis points to 21.3%. These results demonstrate the higher quality of earnings that we are generating as a result of our System Optimization initiative. And as part of our previously announced share repurchase authorization, we intend to enter into an accelerated share repurchase transaction for approximately $165 million in the very near future. This is in addition to the $850 million share repurchase program that we recently completed. Our second quarter results reflect the more balanced approach to our marketing calendar as we indicated you would see. We continue to see excellent results from our limited time offers as the Spicy Jalapeno Fresco Chicken Sandwich and Ghost Pepper Fries worked well in combination. The sandwich sold at a $0.60 premium to our core Chicken Sandwiches and Ghost Pepper Fries sold at a $1.99 in company restaurants, offering consumers a compelling price point as a snack or add on. Our increased focus on core products has also helped emphasize our inherent brand equities, freshness and sandwiches made when ordered and custom-prepared to each individual's taste, which are some of the qualities that differentiate Wendy's and have been core equity since our founding in 1969, and our balanced approach to marketing messages, core, LTO and price/value; we feel very good about our core and LTO messages, while price/value still requires refinements. Finding a consistent price value message that drives sales, customer accounts and profits is our opportunity. We know that our right price, right size menu alone is not a sufficient value proposition to consistently attract the contemporary value-seeking consumer. So, we have been testing various value bundles and we are gaining important insights moving to – us closer to a solution. We expect to see this pay off later in the fourth quarter of this year. The success of the recent promotions give us confidence that we are on track to find the right balance of core, LTO and price/value messages. For example, we are seeing strong results from this year's top prize promotion. While a value at $1.99, the total Ghost Pepper Fry average check was close to $10 and consumers often bundled the price with other value items or added them as an upgrade to a combo. We saw similar results from a core product pillar in July, Baconator and Baconator Fries promotion. Overall, top fries have proven to be highly incremental to the fry category and our total restaurant sales. Also, our new premium beverages, Honest Tropical Green Tea and FRUITEA CHILLERS continued the success we've seen with lemonade and strawberry lemonade by growing sales and units of our beverage category. Signature beverage checks have been significantly more profitable than our total restaurant average check, and we are seeing solid improvement in beverage incidence this year. I spoke earlier about our brand equities, the qualities that make Wendy's unique, and enable us to differentiate the Wendy's brand, and bring to life our Cut Above brand position. Chief among these is our heritage of food quality that began with our founder, Dave Thomas. Since day one Wendy's has stood for fresh, great tasting food. When Dave founded Wendy's, he wanted to serve hamburgers made fresh, never frozen – with never-frozen beef, and wanted all sandwiches made fresh when customers order them. Today we partner with growers who share this commitment to fresh quality ingredients and take pride in their products. This infrastructure and our system's commitment to fresh, great-tasting food are what makes seasonal promotions such as our Strawberry Fields salad possible. As part of our commitment to serving high quality, freshly prepared food, we have re-crafted the recipe for our grilled chicken sandwich to elevate its flavor profile. The new grilled chicken sandwich, which is currently in test, features marinated grilled chicken spring – with spring mix, tangy herb sauce, and toasted multigrain bun. As part of this test, we are offering grilled chicken raised without antibiotics to determine our supply chain capabilities, as well as customer appeal. The strength of our core equities, our food innovation pipeline, and the evolution of our price value messaging gives us confidence we can grow North American same-restaurant sales consistent with delivering our goal of $2 million AUVs by 2020. Growth will also come from continued investment in Image Activation and new restaurant development. Both are testaments to the strong brand stewardship and commitment that our franchisees continue to demonstrate. Along with new restaurant growth, consumer-facing technology is an important way that we are increasing Wendy's brand access. We are investing in platforms such as mobile payments, mobile ordering and customer self-order kiosks, which provides consumer convenient, the potential for a higher check, faster speed of service, and a seamless brand experience along with the opportunity for increased customer counts. North America will for some time be the core of our business; however, international growth is a longer-term opportunity for us, and we expect to share our vision for global growth in early 2016 when we provide guidance for the next year. Our System Optimization initiative has played a strategically significant role in evolving Wendy's company economic model, and moving us to an expected 5% company restaurant ownership during 2016. While strengthening the Wendy's system, another key benefit of our system optimization initiative is enhancing quality of earnings, producing a more stable earnings stream, and a more predictable free cash flow, all of which should be beneficial to creating shareholder value. In 2017, the first full year after we expect to complete the third phase of system optimization, we anticipate that 80% of our earnings stream will come from royalty and rental income. Going forward, we recognize that consistent, strong same-restaurant sales and new restaurant growth in North America, and across the globe, will maximize the potential of this economic model. In summary, we believe our strategic growth priorities have positioned us to continue deliver value to our shareholders and franchisees. Key to this is our brand heritage of quality and Cut Above brand positioning, our strong company and restaurant economic models, system commitment to executing our recipe to win, and a highly dedicated franchise system of big brand ambassadors. As we look to the second half of the year, our upward revision of 2015 adjusted EBITDA and restaurant operating margin guidance as well as the reaffirmation of our long-term outlook underscores our confidence in the Wendy's business. And now, here's Todd.
Todd A. Penegor - Chief Financial Officer & Senior Vice President: Thank you, Emil. I'll start with financial highlights from the second quarter. North American system same-restaurant sales increased 2.2%. We generated an increase in same-restaurant sales of 2.4%, or 6.3% on a two-year basis, at company-operated restaurants. North American company-operated restaurant margin was 18.2% in the second quarter of 2015, compared to 17.8%. The 40-basis-point increase was the result of higher same-restaurant sales, favorable product mix, and the positive impact from our Image Activation reimaging program. General and administrative expense was $60.8 million in the second quarter of 2015, compared to $66.4 million. The 8.4% decrease resulted primarily from cost savings related to our system optimization initiative, and resource realignment that we announced in late 2014. Adjusted EBITDA from continuing operations was $104.3 million in the second quarter of 2015, a 5.2% increase compared to $99.1 million, despite the ownership of 141 fewer company-operated restaurants. Adjusted EBITDA margin was 21.3% in the second quarter of 2015, compared to 19.6%. The 170-basis-point improvement reflects the positive impact of the second phase of our system optimization initiative. And finally adjusted earnings per share from continuing operations were $0.08 in the second quarter of 2015, compared to $0.09. The 2015 results include $4.1 million in tax expense related to our recent debt refinancing. Let's take a look at our adjusting EBITDA bridge for the quarter. Remember that our comparable 2014 second quarter results of $99.1 million exclude $1 million in pre-tax gains, primarily from the sale of restaurants, and about $4 million in bakery EBITDA, which we are now reporting as discontinued operations. Off this base, we realized about $6 million in G&A savings, about $3 million in technical assistance fee increases, $2.5 million in benefits from Image Activation, and $1.5 million in core restaurant EBITDA growth. Partly offsetting these benefits was nearly $7 million in lost EBITDA from the restaurants we sold during the Canadian system optimization initiative. This year, we expect the Wendy's system to open 80 new restaurants, which will be the highest number in the past eight years. The Wendy's system remains on target to hit our goal of 450 reimages this year. This week, we achieved a major milestone when the Wendy's system opened its 1,000th Image Activation restaurant. We remain on track with our goal to reimage at least 60% of our North American system-wide restaurants by the end of 2020. We now have more insight into the comparable sales contribution from company-operated Image Activation restaurants for the third and fourth quarters, due to a number of factors. These factors include the timing and composition of the reimaged restaurants in the comparable sales base, and the impact of restaurants we expect to sell during system optimization. As a result, we expect the Image Activation contribution to decrease from 170 basis points in the second quarter to approximately 50 basis points in the third and fourth quarters of 2015. Image Activation continues to meet our expectation. System reimaged restaurants continue to see average sales lifts of 10% to 15% with company flow-throughs in the 40% plus range. During the second quarter, we completed the sale of our remaining Canadian restaurants to franchisees. We plan to reinvest the proceeds from these sales into our build-to-suit program in Canada. These transactions also generated additional restaurant reimaging commitments, as well as commitments for the development of more than 60 new restaurants. As we announced in February, the third phase of system optimization is the 540 domestic restaurants that we plan to sell during 2015 and 2016. Interest in these restaurants is extremely strong at our full asking prices, and we expect the sale of these 540 restaurants will result in pre-tax cash proceeds of approximately $400 million to $475 million, and reduce future capital expenditure requirements. Going forward, as part of our ongoing system optimization strategy, we intend to buy and sell restaurants opportunistically to act as a catalyst for growth by further strengthening our franchisee base, driving new restaurant development, and accelerating Image Activation adoption. As we have stated, we are committed to maintaining an ownership level of about 5% of the total system going forward. One key element of our long-term guidance is our rental revenue evolution, and this chart demonstrates the impact that we expect to realize as a result of our system optimization initiative. In 2017, the first full year after we expect to have completed the third phase of our system optimization initiative, we anticipate that we will realize $170 million in total rental revenue from the real estate that we own and lease. This is an increase of about $100 million compared to the 2014 total. Keep in mind that the offset to the income from subleased properties is in the other operating expense line. We expect this amount to be approximately $90 million in 2017. By 2017, we expect to have monetized more than 70% of our owned real estate, further enhancing the quality of our earnings. As noted in our release, today we announced our intent to repurchase approximately $165 million of our stock in an accelerated share repurchase transaction in the very near future. This will use the remaining $14.5 million on our previous $100 million authorization in addition to $150 million of our existing $1.4 billion authorization. After the completion of the anticipated ASR transaction, we expect to have approximately $400 million remaining under our share repurchase authorization. We plan to use the remaining authorization before the end of 2016 as funds become available from the sale of company-operated restaurants. Based on our operating results through early August, we are increasing our 2015 outlook for adjusted EBITDA from continuing operations to $385 million to $390 million from our prior guidance of $375 million to $385 million. This represents an increase of 8% to 9% compared to our 2014 adjusted EBITDA results, which exclude the EBITDA contribution attributable to our bakery operations. We are also increasing our 2015 outlook for the restaurant operating margins by 50 basis points to 17% to 17.5%, an improvement of approximately 120 to 170 basis points compared to 15.8%. This estimate includes an improved outlook for commodity costs. We now expect our commodity costs to be approximately flat compared to 2014. We continue to expect 2015 adjusted earnings per share from continuing operations of $0.31 to $0.33. This includes the absorption of $0.02 to $0.03 per share of incremental negative impact, primarily from interest related to our debt refinancing and a higher tax rate, partly offset by the benefit of our share repurchase effort. We expected our 2015 interest expense to be approximately $80 million to $85 million compared to $52 million in 2014. The full-year run rate is $110 million, which includes $90 million in expense related to new debt, $10 million in deferred financing amortization, $7 million related to the 7% debentures and $3 million related to amortization for the unwinding of swaps. We now expect a 2015 reported tax rate of approximately 38% to 40%. We expect our 2015 adjusted tax rate to approximate our reported tax rate. But we expect our cash taxes to be less than half of our GAAP taxes in 2015 due to the utilization of tax attributes. We do not expect a material difference in future years. And as noted in the release, we are adjusting our 2015 same-restaurant sales outlook at company-operated restaurants to 2% to 2.5%. And finally, we continue to expect to achieve the following system goals by the end of 2020 – average unit sales volumes of $2 million; restaurant margins of 20%; a sales-to-investment ratio of 1.3 times for new restaurants; restaurant development growth of 1,000 new North American restaurants, excluding closures; and the reimaging of 60% of our North American total system restaurants. And with that, I will now turn the call back over to Dave.
David D. Poplar - Vice President, Investor Relations: Thank you, Todd. Please note that we will be returning scheduled calls with the sell-side for the remainder of the day. But if you need to reach us, please e-mail me at david.poplar@wendys.com or leave a message at 614-764-3311, and we will get back to you as soon as we can. Before we open up the phone line for questions, I'd like to review some upcoming events on our Investor Relations calendar. In September, Greg Lemenchick and I plan to attend the C.L. King Conference in New York. In October, our senior management team will host an Image Activation market visit here in Dublin sponsored by Karen Holthouse and Goldman Sachs. Looking further ahead, we plan to issue our third quarter earnings on November 4 and Greg and I plan to attend the Morgan Stanley Conference in New York on November 18, as well as the Wedbush Conference in Santa Monica on December 9. We are currently working on a couple of other events in the back-half of the year and will look to confirm those in the coming weeks. And now we are ready to take your questions.
Operator: Your first question comes from the line of Michael Gallo of C.L. King.
Michael W. Gallo - C.L. King & Associates, Inc.: Hi. Good morning.
Emil J. Brolick - President, Chief Executive Officer & Director: Good morning, Mike.
Todd A. Penegor - Chief Financial Officer & Senior Vice President: Good morning, Mike.
Michael W. Gallo - C.L. King & Associates, Inc.: I just want to dig in a little bit, it seems like whatever you've got in the core products and the premium products, it's done well. But you haven't been able to really get that balance in terms of value. So I was wondering, I know you've made changes to that menu over time, but how do you better make that part of the menu relevant in terms of driving better back onto the menu?
Emil J. Brolick - President, Chief Executive Officer & Director: Sure. Yeah. Mike, this is Emil. The – I think it goes beyond just the evolution of the right price, right size menu. I think we're clearly seeing the shift for – the consumer today is looking for a more relevant total offering in terms of bundled meals and where we see particularly relevance is in that $4 to $6 check range and we believe that the responses that we are in market testing now will definitely address that more aggressively than does the right price, right size menu. And I think we'll see the – beginning to see the benefit of that early in the fourth quarter, as well as into 2016.
Michael W. Gallo - C.L. King & Associates, Inc.: Okay. Thanks very much.
Operator: Your next question comes from the line of Karen Holthouse of Goldman Sachs.
Karen Holthouse - Goldman Sachs & Co.: Hi. One quick question, just modeling question, and then an actual question. The modeling question is – I missed this I think a little bit in prepared comments, can you just walk through 2015 and 2016 again the cash taxes versus GAAP taxes piece of it? And sort of a longer-term question, the comment earlier that we should expect an international update sometime in 2016, should we think about it as something that has the potential to be incremental either on the cost or the sales side or the revenue side to what's been laid out for long-term guidance or is anything there sort of beyond the timeline for how we're already thinking about numbers?
Todd A. Penegor - Chief Financial Officer & Senior Vice President: Hey, Karen. This is Todd. So on cash versus GAAP taxes so for 2015, we see cash taxes at about half the rate of what you would see GAAP taxes, so we've spelled that out in the earnings release, but as you move into 2016 and beyond, cash and GAAP taxes will move almost the same. So there would be approximately the same amount plus or minus, $5 million to $10 million based on timing of the use of some of the tax attributes.
Todd A. Penegor - Chief Financial Officer & Senior Vice President: As far as international, we do have international growth built into our long-range guidance that we've already previously provided, but what we haven't given is anything specific around the number of restaurants that we would expect against that LRP over time, and what we want to do is provide you more detail probably at Analyst Day in February around our long-term growth aspirations in international. We'll have some updates on the progress in the core four markets that we've been really focused on when you think about Japan, India, Brazil and the Middle East, and where we want to go from there. So more to come on that, but that is embedded in our guidance at the moment, but we want to provide some more specificity going forward.
Karen Holthouse - Goldman Sachs & Co.: Great. Thank you.
Operator: Your next question comes from the line of David Carlson of KeyBanc. 
Todd A. Penegor - Chief Financial Officer & Senior Vice President: Okay. So on G&A, yeah, if you look at the run rate, it would say we're tracking more to $240 million. You've got to remember, there is a couple of things when you think about the back half of the year, one, we have a 53rd week, so you have another week of G&A expense that we do pick up in the back half of the year. And as we've previously articulated, with some of the savings that we had from last year's G&A initiative, we are reinvesting back into technology, we are reinvesting back into development for future growth. So those investments largely come in the back half, some have come to life with the opening of our 90 Degree Labs that we've announced about two months ago. We're now working to staff up that lab, and we continue to ensure that we've got the resources on the development front to drive those 1,000 gross new North American restaurants that we committed to have opened by 2020. 
Todd A. Penegor - Chief Financial Officer & Senior Vice President: Yeah. So we continue to see pressure on wages two fronts, one is minimum wages at the state level continue to increase, and as there is a war on talent to make sure that we're competitive in certain markets. So we've made some adjustments to that starting wage in certain markets. The impact hasn't been material at the moment, but we continue to look at initiatives on how we do work to offset any impact to future wage inflation through technology initiatives, whether that's customer self-order kiosks, whether that's automating more in the back of the house in the restaurant, and you'll see a lot more coming on that front later this year from us. 
Operator: Your next question comes from the line of Jeffrey Bernstein of Barclays.
Jeffrey Bernstein - Barclays Capital, Inc.: Great. Thank you very much. Two questions. One just thinking about just the broader category, things like quick service is performing quite well. I'm wondering how you think about maybe your own performance, whether I think you might be taken share from fast casual, which I know is kind of where you target to really after versus maybe benefiting from weakness of your largest peer. And maybe on that note, any change in category promotional activity whether it's your largest peer or otherwise? And then I had a follow-up question on Image Activation.
Emil J. Brolick - President, Chief Executive Officer & Director: Yeah. Sure. Jeff, as we look at the category, I still think that there is a – when I look at traffic counts in the industry, they're still fairly soft while QSR though continues to be the stronger element versus casual dining or mid-tier restaurants. So, obviously it's a great place, it's a great place to be. And as we look at share shifts in the business, it is hard to identify exactly where those come from. So, our focus is really, as we've said in the past, very much on beating ourselves. And we feel very good about our promotional products or LTO items, very good about the core items that we have put out where they've performed at or above our expectations. And the opportunity is to continue to refine that price/value message, and importantly I think we've identified some insights there that are going to help us to do that. So, we're very encouraged for the remainder of the year, as – really as we look into 2016. And so, we like where we are. We continue to execute against the Cut Above brand positioning, and believe that that will distinguish us both versus traditional QSR competitors, where we're going to give people a new QSR experience, but at a QSR price, and we also think it's going to hold us up well against the new QSRs, because our average check is some 40% to 45% below where their check is.
Jeffrey Bernstein - Barclays Capital, Inc.: Got it. And then just the Image Activation, I know you mentioned in the press release, and I think you said it on the call, you're still seeing those sales with 10% to 15%, I mean that number seems I guess critical to achieve your ultimate AUV, as far again I think people are always wondering if and when that 10% to 15% might get tweaked downward. I mean, just wondering your thoughts, it would just seem like as more of your systems complete and there is more across broader quick service pursue similar strategy and they get a sales lift, maybe not as large, but just hard to imagine the whole category can sustain that momentum. So I'm wondering if there is any change or tweaking in your outlook or do you see anything new when you do more remodels in the existing market or maybe the next store doesn't get as much of a lift or do you still feel like 10% to 15% is very reasonable over the next two years?
Todd A. Penegor - Chief Financial Officer & Senior Vice President: We still feel for the ultra-modern standard design and that design with upgrades, that the 10% to 15% lift is reasonable. From a company perspective, where we see the results of those incremental sales, we do see the strong follow-throughs of 40% plus continuing to happen. And it's really been helping the health of the overall brand, right. As we trade a more consistent experience across all Wendy's across the country, you do get an all boats rise with the tide element of IA. But we continue to see sustainable results. And as you know we've been at this for now many years both from the company restaurants and now as low as the franchisees that have been adopting, where we see sustainable results in that 10% to 15% range, not just during the first year, but moving into the future. So it's always those lifts in year one. And then in year two, we start to see those restaurants grow in line with the system averages, and it's really a function of bringing those lost consumers and new consumers into the restaurant, creating a great experience from the place, the people and the product side to continue to drive that growth, and make sure they become return customers over time.
Jeffrey Bernstein - Barclays Capital, Inc.: Great. Thank you.
Operator: Your next question comes from the line of Sara Senatore of Bernstein.
Sara H. Senatore - Sanford C. Bernstein & Co. LLC: Hi, thank you. I have one point of clarification, I guess and then, more of a philosophical question. So the first question is just on the Image Activation impact, I think the stores are out of the comp base for the first, during construction, and then immediately after as you get these very big initial lifts. I am just trying to understand kind of the timing in the sense that you are expecting a pretty market slow or deterioration I guess in terms of the contribution in the back half. Is it safe to assume that the biggest lift has been in the first half of 2015 and from here, we'll see kind of diminishing lifts? And I guess related to that, are you comfortable in your kind of product and marketing calendar that you can offset that and still meet your comp targets with a more diminished contribution from Image Activation?
Todd A. Penegor - Chief Financial Officer & Senior Vice President: Yeah, first part on IA, and then I'll turn it over to Emil to talk about the back half calendar and the confidence in the guidance that we've provided. But you're exactly right. So if you think about all of our IA activity from 2014, we did a lot of IAs in the third quarter and the fourth quarter of last year. And as we go through the construction period which is usually five weeks of closure and then the following 13 weeks, which is the grand opening impact, that those restaurants as they're being constructed are out of comps. They got basically an 18-week period. We got the benefit of all of those IA openings in the first half of this year. So they came back in the comps, we saw a great tailwind. Those restaurants are performing very well. But then remember that as you lap those 18 weeks, they come back out of comps. So a lot of restaurants that are performing well in the first half of the year come out of comps in the back half of this year. So that's a big driver on the contribution from IA, just because they come out of comps in Q3 and Q4. System optimization does have a little bit of an impact too, as you get into the back half of the year. So, we've IA'd a lot of restaurants from a company perspective. Some of those restaurants will be transferring from company to franchisee as part of the sale late this year. So that is an impact on the company tailwind from IA. And we're also trying to drive the system with really models from behavior for our lower AUV restaurants. We've talked about this refresh option for restaurants with AUVs $1.4 million or below, so a $250,000 investment cost. So we're also doing some of those restaurants in the back half of the year, to see the response. We've only got a handful today, so we've got more coming in the back half. Those do not come out of comps. So, we have about five days of closure in the dining room when we do a refresh, and we just absorb that in the comps in the back half of the year. So those are the elements that are driving the IA contribution. I'll turn it over to Emil on the confidence in the calendar in the back half.
Emil J. Brolick - President, Chief Executive Officer & Director: Yes, Sara, so as we looked at our forecast internally for the year, the description that Todd just gave you is included in that. And so, we have great confidence that the calendar and the marketing efforts we have, the price/value work is definitely going to deliver on the outlook that we've provided.
Sara H. Senatore - Sanford C. Bernstein & Co. LLC: Okay. Great, and if I may, just one quick question on the real estate. It sort of I think flies in the face to own more real estate of what some investors are agitating for now with other company restaurants, is to sell real estate. So can you just maybe talk philosophically about this idea of retaining the real estate versus monetizing it the way that, like I said we've heard, we've seen some investors agitate for?
Todd A. Penegor - Chief Financial Officer & Senior Vice President: Yeah, no, we feel good that we've been monetizing our existing real estate through system optimization. So we've been able to create rental income streams into the future, which is to enhance the quality of our earnings moving forward, hence the quality of our cash flow and we've done that in a way that still allows us to have that underlying asset for something that we could potentially do sometime into the future. And it's nice to have monetized the rental income stream, while still having that underlying asset on the control of the Wendy's Company books.
Sara H. Senatore - Sanford C. Bernstein & Co. LLC: Thank you.
Operator: Your next question comes from the line of Will Slabaugh of Stephens, Inc.
Will Slabaugh - Stephens, Inc.: Yeah. Thanks guys. I had a question about value. If I could circle back there, should we assume that given the positive commentary around your premium LTOs, and then the new value strategy you mentioned coming that should help you out in 4Q, that the share loss at the value end of your menu has become somewhat more material at this point or maybe has that gotten worse or just become more clear in recent quarters, that something additional needed to be done?
Emil J. Brolick - President, Chief Executive Officer & Director: Yeah. I would say that we don't believe it's more material, but I think our understanding and insights into it is clear in how we're going to be able to address that, but you are correct in saying we feel very good about the performance of our LTO products and our core products. I guess we're just appreciating even more that the opportunity we had is definitely in the price/value area. And as I mentioned specifically in that $4 to $6 check range, which is also where you see a lot of competitive activity taking place in that area.
Will Slabaugh - Stephens, Inc.: Got it. And just one quick follow-up if I could on food cost. Wondering what your outlook was for the back half, if you could talk just a little bit more around that and especially around beef, which looks it have been coming down nice in the past month or two and a number of your competitors have mentioned around some better outlooks for back half of the year?
Todd A. Penegor - Chief Financial Officer & Senior Vice President: Yeah. Well, so we've continued to see beef prices not be as inflationary as we thought in the fourth quarter. We in fact probably see it a bit deflationary from where we would have been a year ago. But we have guided now to flat commodity inflation, so if you recall at the end of the first quarter we were thinking the commodity bucket was about 1.5% inflationary. We're now flat. That change is really driven in two fronts, primarily by beef, which is about two-thirds of that improvement, and by pork, which is the other third. So year-on-year, we're really looking at a flat commodity bucket outlook.
Will Slabaugh - Stephens, Inc.: Thank you.
Operator: Your next question comes from the line of Matt DiFrisco of Guggenheim Securities.
Matthew James DiFrisco - Guggenheim Securities LLC: Thank you. I was just wondering if you could comment or at least follow up on some of those questions about the reimaging. If you could talk about the average cost of the stores that you've most recently done, what it is running at. And then also secondarily, I was just curious as far as is it too early to tell or could you give us an estimate of potentially how many stores could sort of get the activation light sort of the $250,000 investment. As you refer to the 60% of your base getting Image Activation, I wonder how high could that number go, if you were to include sort of those $1.4 million and lower AUV stores getting a more modest refresh. Thank you.
Todd A. Penegor - Chief Financial Officer & Senior Vice President: Yeah. Matt, so on the costs, we continue to see the costs come in at $450,000 to 650,000 range and the wide range is really a function of what upgrades you would put against the base ultra-modern standard design so those costs have stayed in that range. As we do more and more, the opportunity to take some costs out with some sourcing and partnership with QSCC has started to materialize. As folks get better at constructing these restaurants, we've seen it from a company perspective, we'll start to see it from a franchise perspective, they start to be able to pull some of the construction costs out over time, but still within that overall range. The refresh option, we only have about 10 of those restaurants open to date, all of those are coming in under $250,000 for the most part. We are favorably encouraged by the lift that we are seeing in those restaurants, but it's really too early to declare victory as we are still through the grand opening phase in a lot of those restaurants, but we are encouraged that that is another tool in the tool box to make sure that we can not only reimage our lower AUV restaurants economically but it gives us a chance to make sure that maybe we have an opportunity to mitigate closures over time, as some of those lower AUV restaurants couldn't afford a full ultra-modern standard design upgrade in the future. So that's what we're seeing on the results. As far as what we would see the mix into the future, still it's too early to tell but as we look at the AUVs across the system, we could see refreshes being maybe as much as 20% of the system into the future and we think that's a real positive thing that it could help us continue to accelerate the pace of the reimaging, make sure we have economically viable solutions and we have a place that continues to draw in those lapsed and new consumers and then we will continue to wow them with the great hospitality and the restaurant and the great food.
Matthew James DiFrisco - Guggenheim Securities LLC: Okay. Excellent. Thank you.
Operator: Your next question comes from the line of John Glass of Morgan Stanley.
John Glass - Morgan Stanley & Co. LLC: Thanks very much. Just first on the lower contribution from Image Activation, is that the new normal for this, once on the company side, now that you've gone through the bulk of them there and you're refranchising more or is this really just more about the timing in the back half?
Todd A. Penegor - Chief Financial Officer & Senior Vice President: No, I think it ends up becoming more of the new normal it's probably a little more muted this year with the timing in the back half, wiping all that activity from the front half. But we are coming over that reimage comp as a company and as we move down to the 5% ownership, by the end of 2016, we'll have the bulk of the company restaurants reimaged. So you will start to see from a company side, much less of a tailwind from IA because we're coming across the other of the hump. But importantly, as we move to 2016 and beyond, we're going to start to really focus on system-wide guidance. And this system still has a big opportunity to continue to image activate restaurants. Because if you look at where we were at the end of Q2, we're above 45% of the company restaurants are image activated, only 11% of the franchise restaurants are image activated, so the total system is at 16%. We've now moved to 17% of the system image activated across North America as we opened our 1000th restaurant this week. So we've got some nice momentum. But we have a lot company reimages in the back half of this year and into 2016. And then the franchise community will continue to pace over the next six years as we work to get the system at 60% image activated by 2020. And remember, they have a requirement to reimage 10% of their restaurants every year as we work towards that 60% commitment.
John Glass - Morgan Stanley & Co. LLC: Thanks for that. And just as a related question, how much of the lowered sales guidance for the year is due to just the math around Image Activation, maybe now you've got better insights in terms of lower contribution? How much of it's related to fundamentals? I was surprised that you thought your sales were below expectations given you had a very strong quarter a year ago, so I would have thought that you would have been pleased with this tier stack, and it sounds like you're somewhat disappointed and maybe that – maybe there is some – you are intimating that the run rate into August isn't as strong as you maybe thought, but I don't want to read into it if that's not correct.
Todd A. Penegor - Chief Financial Officer & Senior Vice President: Couple pieces, and I'll let Emil chime in a bit. So we've largely contemplated a lot of the pacing and the sequencing of IAs, but since we've started to give you the tailwind of IA performance in Q1 and Q2 we thought it was important to make sure you understood how it paced in sequence through the year, as you guys think about your model, so that's why we've provided just more detail on it. The real driver of the sales guidance called down to 2% to 2.5% is that the underperformance that we've seen in the first half of the year, and it really is entirely focused to where Emil's comments were earlier, on price/value. So, if you look at year-to-date rate we're at about 2.5% in growth, but about 160 basis points on average of that is really driven by the IA contribution. So that leaves what's remaining on the core. We feel good about the premium side of the menu, LTO, we feel good about core. And, we are making some adjustments to that the price/value in the back half. So we just let that under-delivery of our expectations front half flow through for the full year for the most part. As Emil said in his comments, we do feel good about the start in Q3, Baconator promotion, Baconator Fries continue to perform well. And we got a lot of tests going on in price/value, but we won't really see the benefit of those tests until the fourth quarter of this year.
Emil J. Brolick - President, Chief Executive Officer & Director: No. I think that's, that's a great summary, and the disappointment, John, is definitely focused on the performance in the price/value area at $4 to $6 check and predominantly a lot of that comes at the lunch day part. So the team has really done a nice job of getting very, very targeted about this, which obviously always leads to an opportunity to address it quickly, which is what the goal is.
John Glass - Morgan Stanley & Co. LLC: Okay. Thank you.
Operator: Your next question comes from the line of Joseph Buckley of Bank of America.
Joseph Terrence Buckley - Bank of America Merrill Lynch: Thank you. A couple of follow-up questions and then maybe one that hasn't been asked yet, but does the food cost guidance for the year now of flat imply down year-over-year food costs in the back half of the year?
Todd A. Penegor - Chief Financial Officer & Senior Vice President: Slightly down Joe, so we would have been inflationary in Q1, food costs in Q2 would have been slightly favorable year-on-year. So you do pick up a little more favorability in the back half of the year, really pronounced in the fourth quarter. So if you remember last year, beef really started to accelerate and become very inflationary in the fourth quarter of last year, we're seeing a moderating of that inflation and beef will become deflationary in Q4 for us year-on-year.
Joseph Terrence Buckley - Bank of America Merrill Lynch: Okay. And then, question on the Image Activation and what the experience has been. So when you lap that 18 weeks where they come out of the comp base, what happens afterwards? Is there another incremental lift on a year-over-year same-store sales basis starting that 19th week on or do the stores then kind of perform in line with the system?
Todd A. Penegor - Chief Financial Officer & Senior Vice President: The most on average so they start to perform in line with the system once you get past that whole brand opening impact. So what we see is, you have that new elevated base so if a restaurant was a $1.5 million AUV, 12 months in, now it's $1.65 million and then it starts to grow in line with the system comps from that $1.65 million and beyond.
Joseph Terrence Buckley - Bank of America Merrill Lynch: Okay. And then can you just maybe talk about the refranchising of Canada, what those proceeds were, and if the margins of those stores were low and therefore coming out has an impact on your second half margin expectations?
Todd A. Penegor - Chief Financial Officer & Senior Vice President: Yeah. So the margins in Canada were lower than the total North American overall average. So in the back half of the year, selling those restaurants, which we finished most of those deals late in Q2, will help continue to provide part of the benefit in the back half of the year. So we ended up doing eight deals for the 129 restaurants across Canada, primarily with existing franchisees, but we did bring in one new franchisee into Canada as part of the transaction. And if you look at the total consideration, so this would be purchase price, partial reimbursement for completed IAs, the technical assistance fees that we get upfront, as well as some restaurant growth and development fees, for the sale of those restaurants we picked up about CAD 87 million.
Joseph Terrence Buckley - Bank of America Merrill Lynch: Okay. Okay. That's helpful. Thank you.
Operator: Your next question comes from the line of David Palmer of RBC Capital Markets.
Eric A. Gonzalez - RBC Capital Markets LLC: Good morning. This is Eric Gonzalez in for Dave Palmer. I was just wondering how the decision to pursue a value strategy was influenced by the beef or commodity cycle? And then how do you decide what sort of value is compelling but not damaging to the brand? And then secondarily, maybe you could touch on some of the technology investments you've made, I know you mentioned mobile order and pay, hoping you must be willing to discuss some early learnings? Thanks.
Emil J. Brolick - President, Chief Executive Officer & Director: Yes. This is Emil. I'll start out in comments. The value strategy really is not influenced by the beef cycle. This is really driven by our consumer base, and we all are very familiar with the patterns we see in median disposable household income in the United States, but essentially that number has been flat if you go back as much as 18 years. And so there is a lot of consumers out there who are simply heavy users of quick-serve restaurants, who don't have a lot of disposable income, and because they're using restaurants frequently, a value – price/value is something that is important to them. And we see that as something will be important for a long time to come, and we just have to evolve our offering to be more relevant to the specific needs that they have. And again, I want to emphasize we believe that we have the insights to address that, but as far as how these things affect brand perception, what we're seeing very clearly is with these consumers that there is no adverse effect on brand perception, because they're using your brand, and we believe that actually with Wendy's one of the distinct things that we have is we're giving people extremely high quality food experience, custom-built sandwiches and we can do that at a price point that they need to hit in that $4 to $6 range. we think that's an attractive business opportunity for us and attractive benefit for them. So we see all of those things working very nicely together, and we're not at all concerned about in any way the degrading our brand image. And obviously the ideas that we have would be done in a very thoughtful manner, driving sales, driving customer counts, and diving profits, and all three of those have to work together.
Todd A. Penegor - Chief Financial Officer & Senior Vice President: And Eric on the technology side, we are really focused on mobile order, mobile payments. So we've been testing both of those elements in 10 Columbus restaurants for a while now. We do have a market test going on in Phoenix, we've got about a half the restaurants involved in that market test and we have the Austin market on a full market test. And in both Phoenix and Austin we've now turned on support to drive more transactions. So it's still too early to get a read on operational efficiency, average check and how they are performing anecdotally. With the beacon technology and the seamless experience we're getting a lot of great feedback from a user perspective. So it will probably be another quarter or so before we have some good tangible evidence on the results from those initiatives. We are also working hard with our 90 Degree Lab investment to really move from our 1.0 lab to our 2.0 lab in the back half of this year, probably in the November timeframe. And at that stage we would be able to put integrated offers based on consumer behavior into the mobile order, mobile payment complete experience, be able to do national coupon drops. So that is a big element of how we've upgraded the full experience. And once we get to that at 2.0, that really gives us the platform to continue to drive hard on customer self-order kiosks into our restaurants as we talked about earlier as an investment to mitigate some of the pressures that we are seeing on the labor front.
Eric A. Gonzalez - RBC Capital Markets LLC: Thanks.
Operator: Your next question comes from the line of Keith Siegner of UBS.
Keith R. Siegner - UBS Securities LLC: Thanks. Just a question, Emil, on the quality is your recipe aspect of the brand. We've seen a lot of news across the industry with focus on removing hormones and antibiotics, artificial flavors and ingredients and I thought that was very interesting how you talked about some of the tests with the chicken. Now that we have Kurt Kane in place here to help lead these efforts, can you give us an update on, let's say, ingredient or product reformulation and the marketing efforts, how you plan to say support or even leverage that quality as a recipe position going forward? Thanks.
Emil J. Brolick - President, Chief Executive Officer & Director: Sure. Keith, and first of all, I think that the great success we had with Jalapeno Fresco Chicken Sandwich, the very strong success we had with Baconator and Baconator Fries, and remember Baconator is a product that has an average price point of over $6 because it's a half-pound product. And when I look at the levels with which we're able to sell these items, I believe it strongly speaks to the core equities and qualities that we have as a traditional QSR, and I think that that's one of the things that undoubtedly distinguishes the Wendy's brand. But clearly, quality like everything else, you have to evolve, you have to change, you have to continue to get better at this, and we realized as we looked at our grilled chicken sandwich that we just felt that it was something that needed to evolved and changed, and it wasn't as competitive as it was at one time. And so the product we have in the marketplace is something that we believe that not only addresses the importance of the taste profile, but also the issue with antibiotics that have become increasingly important in the minds of consumers. And we know that sourcing issues particularly for the millennials is something that's very, very important to them, and we believe a product like this can satisfy our very loyal baby boomer customers along with the millennials. And you'll continue to see us do work on our core products as well as LTOs because maintaining that quality margin advantage over traditional competitors is something that is extremely important to us and we're committed to maintaining that advantage.
Keith R. Siegner - UBS Securities LLC: Thank you.
Operator: Your next question comes from the line of Jason West of Credit Suisse.
Jason West - Credit Suisse Securities (USA) LLC (Broker): Yes, thanks. Just I guess going back to the discussion around value, can you guys give us an update on kind of the percentage of the menu that, or I guess the sales that are considered kind of value-oriented, and maybe how that's changed over time and as you look to push harder on that part of the menu, how do you protect these margins that have gone up quite a bit on the restaurant side over the last few years? Thanks.
Emil J. Brolick - President, Chief Executive Officer & Director: Yes, if you look at the overall marketplace and you look at information from like an NPD CREST, they'd probably tell you that somewhere between 26% to 28% of consumers say the most recent purchase they had was a value purchase. But I think that that could possibly understate the importance of that, because I think a lot of consumers that are out there buying bundled meals now don't necessarily look at that as a value purchase but look at that as something that's available to them on a ongoing basis. So I think an important part of the art of the way we create our marketing plans and our menus is the balance between core LTOs and price/value. And as you know, our stated goal was to have margins rise to 20%, and the progress you see this year is just part of the plan continuation. And so we do not see the efforts that we have underway in our test in anyway degrading our ability to get to those margin goals because remember, one of the most important aspects to driving margins is volume, okay, and topline volume. And we see in our restaurants that are at that $2 million average unit volume today, that they are delivering the 20% margins and even more than that. So we really see the ability to drive customer count sales and profits with the value tests we have going as actually an enhancer of our capacity to deliver these margins.
Jason West - Credit Suisse Securities (USA) LLC (Broker): Thank you.
Operator: Your final question comes from the line of John Ivankoe of JPMorgan.
John William Ivankoe - JPMorgan Securities LLC: Hi. Thank you very much. Two separate ones if I can. You've guided to CapEx, consistently guided to CapEx of $150 million combined between 2017 and 2018. And I know from the comments that you're basically going to be done with Image Activation at company stores. So can you help explain how you can spend that much money on the system in 2017 and 2018? And maybe at least just explain how much of that pretty big bucket is new unit development versus non-discretionary CapEx. And obviously I ask that in the context of it is a high level of CapEx spend relative to other companies that have a targeted leverage goal of five to six times.
Todd A. Penegor - Chief Financial Officer & Senior Vice President: So John, as you think about the approximately $75 million in each of those years, so the $150 million that you're talking about, one, we will continue to build new restaurants in the markets that we've retained. So as you think about us having 5% ownership, we're talking about 1,000 new restaurants, so we'll be building approximately new 15 restaurants from a company perspective over that time. So that is a big component of that CapEx in that timeframe. And then even bigger, about the same, is the technology investment. So we do continue to believe that investing in technology to manage labor, to create a better customer experience in the restaurant, to enhance the experience for our employees in the restaurants is an important element of continuing to drive margins and the total experience in the restaurant. That's a big part of the investment. And then we got ongoing maintenance against the existing 5% of the restaurants that we continue to retain and we do know that we want to continue to invest in our restaurants. Over time some of our earliest remodels will need a little spruce-up to make sure that we continue to put the money back into the restaurants, so we don't get to the spot where we were a few years ago when we had invested for many, many years in our restaurants. So those are the big three pieces, development, IT and maintenance.
John William Ivankoe - JPMorgan Securities LLC: And I am sure you appreciate just me looking from the outside in, I mean it looks like $5,000 per existing restaurant, over 2017 and 2018 combined. So obviously that's not right. So there is a lot going on behind the scenes versus, as you have mentioned, just technology for those restaurants and sprucing up in terms of redoing and Image Activation, and what have you.
Todd A. Penegor - Chief Financial Officer & Senior Vice President: Yeah, I mean when you think about the technology investments, those are investments for the system, right, so we are spreading that over the system, the experience. Right now, that's all included in the royalties. Is there something different over time? Who knows. But all we want to do is continue to invest in things that improve the economic model for the entire system.
John William Ivankoe - JPMorgan Securities LLC: Okay, understood. And then secondly, I mean there is obviously a lot of discussion of wage prices, wage costs and that there would be increased pricing at the franchise level to offset those increased wages, especially in markets like New York for example that are going to see some very severe increases in wage costs. So can you juxtapose the franchisees' desire and/or need to take pricing at the store level with what sounds like an increased focus overall for the brand on value, can those two things be achieved simultaneously?
Emil J. Brolick - President, Chief Executive Officer & Director: Yeah, John, this is Emil. And our franchisees, I find them to be very astute business people, and they have a great sense of their trade areas where their restaurants are and a great I think understanding of what the competitive environment is in terms of their capacity to price. I think the reality is that what you will see in like some of these markets, the New Yorks, where there is these very significant increases, is that they will be – our franchisee will slightly likely look at the opportunity to reduce overall staff, look at the opportunity to certainly reduce hours and any other cost reduction opportunities, not just price. There are some people out there who naively say that these wages can simply be passed along in terms of price increases. I don't think that the average franchisee believes that, and there will have to be other consequences, which is why we have pointed out that unfortunately we believe the some of these increases will clearly end up hurting the people that they are intended to help. And we continue to believe one of the great opportunities you have in a business like ours is that an entry-level person, in a very short period of time, can rise to become a manager in a restaurant and have an income above the median household income in the United State of America and it's a tremendous opportunity I think that is just too often missed in this whole discussion. But our franchisees are astute businessmen, they know that price/value is extremely important, we do, I think, a very good job of communicating with facts, not just with the emotion, they understand where we're gaining business, they understand where the opportunities are, and they very much support the tests and efforts that we have going on price/value.
John William Ivankoe - JPMorgan Securities LLC: Thank you.
Operator: At this time, I'm showing no further questions. Thank you. This does conclude today's Wendy's Company second quarter 2015 earnings result conference call. You may now disconnect.